Operator: Good afternoon. My name is Jenny, and I will be your operator today for Dragonfly Energy's Fourth Quarter and Full-Year 2023 Earnings Call. The call can be accessed along with the earnings press release and SEC filings on the Investors section of the Dragonfly Energy website found at www.dragonflyenergy.com. As a reminder, this conference call is being webcast and recorded. All attendees are in a listen-only mode at this time. During this call, the company will be making forward-looking statements based on current expectations. Actual results may differ due to factors noted in the press release and in periodic SEC filings. Management will reference some non-GAAP financial measures. Reconciliation to the nearest corresponding GAAP measure can be found in today's release on the company's website. I will now turn the call over to Dr. Denis Phares. Please go ahead.
Denis Phares: Thank you, and thank you to everyone joining us today. 2023 was a difficult year for our core markets, which are highly dependent on consumer discretionary spending. The RV market in particular, which accounted for the majority of our revenue in 2023 continued a steady decline, which began in late 2022. Importantly, we believe that this market has bottomed, and we are finally beginning to see a recovery not only in RV shipments, but in the reincorporation of lithium as the preferred energy storage solution for the industry. And as we noted last quarter, we continue to gain share in the market with both new customer wins and new program and model wins with existing customers. So as the industry begins to recover in 2024, we expect the RV market will return as an important growth driver for the company. Our diversification into the heavy duty trucking market continues with an expanded pipeline of fleets that have either initiated pilot projects using our electric auxiliary power unit or that have committed to its incorporation. The significant return on investment combined with the resulting compliance with anti-idling regulations, has made our solution highly visible in the industry. The product was even recognized as one of the top 20 products of 2024 by the trade publication heavy duty trucking. We expect that the deployment of our EAPU in long-haul trucking fleets, combined with the application of our mobile storage solutions in liftgate applications and refrigerated trucks will result in the heavy duty trucking market providing a significant contribution to our revenue. We have begun to take purchase orders and expect continued growth in this sector throughout the year. In the last quarter of 2023, we began shipping batteries equipped with our proprietary Dragonfly Intelligence feature, which represents a significant advancement in wireless monitoring and communication and storage systems. The stability associated with wireless mesh networking is well documented in other industries and its application to storage far supersedes the existing Bluetooth standard that is typically applied for wireless battery monitoring. We are working closely with our OEM partners to further specify the information to be transmitted over the vehicle communication network so that the storage system will be stable and robust for consumers and technicians. We expect that Dragonfly Intelligence will be included in RV models in the new model year among new and existing customers. Our direct to consumer or DTC business has been flattish, yet trending towards our more differentiated products such as our larger capacity GC3 battery, which have higher average sales prices. We expect that when we release the Intelligence systems for consumers, the product differentiation will allow us to expand our DTC business, primarily on larger stationary systems and marine systems where monitoring and system health are critical to the user. What has set Dragonfly Energy apart from our inception is our dual focus on product development for consumer and OEM markets and fundamental research and development. Our primary R&D focus is our proprietary dry electrode cell manufacturing process and the unique cells and chemistries that can be applied using the process, such as the solid state sale we have previously discussed. Last year, we announced that we completed our pilot line for anode and cathode production. We have since received inbound interest from large customers in the consumer electronics, data center backup and automotive markets. The greatest inbound interest we have had in terms of potential scale has been from automotive. As a result of that interest, we calibrated our deposition and subsequent manufacturing processes such as formation and aging to meet customer requirements in the EV and propulsion sector. Notably, our discussions with both a large consumer electronics company and large automotive companies has revealed some unique benefits of our process that had alluded our focus to date. More specifically, it turns out that our dry deposition process is capable of producing both anode and cathode films that are PFAS free. PFAS chemicals Perfluoroalkyl (ph) and polyfluoroalkyl substances often referred as forever chemicals, our commonplace in lithium-ion batteries today. The European Union has begun taking steps to ban these substances altogether. Current slurry-based processes and dry extrusion-based processes rely on these chemicals to find the electrodes. We have demonstrated the at-scale production of electrodes that are PFAS free. Moreover, we have produced coin cells and pouch cells using these electrodes that have matched the performance characteristics of conventional electrodes containing PFAS chemicals. Concurrently, we commissioned a third-party study to evaluate the benefits of our manufacturing process in terms of cost and sustainability as we continue to scale. We have, therefore, begun evaluating processing technology for gigawatt hour annual production. The study has demonstrated that even with domestic manufacturing, we will be cost competitive with Asian manufacturers without the need of government subsidies. The study showed a 25% reduction in energy usage, a 22% reduction in factory area and most notably, a 5% reduction in overall manufacturing costs for full production in Nevada, and this is before the effects of tariffs and the Inflation Reduction Act. As the EV industry continues to look to dry deposition as a potential solution to a host of environmental issues associated with current cell manufacturing processes, the fact that we are also deploying American innovation on American soil is becoming an increasingly attractive proposition for prospective customers and partners. I will now turn the call over to John to provide a review of our fourth quarter and full year 2023 financial results, as well as a more detailed outlook for the first quarter of 2024.
John Marchetti: Thank you, Denis. Please note that all figures presented are GAAP unless otherwise noted. Dragonfly generated net sales of $10.4 million in the fourth quarter of 2023, down from $20.2 million in the fourth quarter of 2022. As a reminder, the fourth quarter of 2022 included standard install revenue from Keystone, which was not the case in the fourth quarter of 2023. Revenue of $10.4 million in the quarter was at the low end of our $10 million to $14 million guidance range, as overall demand from RV customers remain sluggish. For fiscal 2023, Dragonfly generated approximately $64.4 million in net sales compared to $86.3 million in 2022. The decrease was primarily driven by lower battery and accessory sales due to demand declines in our core RV markets. Significant cuts to overall unit sales from RV OEMs, combined with higher financing costs for retail RV customers were the primary drivers of the year-over-year decline in revenue. As Denis mentioned, despite these challenges, we continued to gain share in the overall RV market and believe we are well positioned to return to growth as the industry begins to recover. Our direct-to-consumer or DTC segment, generated net sales of $6.6 million in the fourth quarter of 2023, down from $10.7 million in the fourth quarter of 2022. For the full year of 2023, our DTC segment generated net sales of $36.9 million, down from $52.4 million in 2022. DTC net sales represented 57.3% of total 2023 revenue down from 60.8% in 2022. OEM net sales in the fourth quarter of 2023 were $3.9 million, down from $9.2 million during the fourth quarter of 2022. As previously mentioned, our fourth quarter 2022 revenue included standard install revenue from Keystone, which was not the case in the fourth quarter of 2023. For the full year 2023, OEM net sales totaled $27.5 million, down from $33.8 million in 2022. The year-over-year decline in OEM revenue was driven by overall weaker demand and cuts within the RV market, partially offset by new customer wins. OEM sales contributed 42.7% of total net sales in 2023, up from 39.2% in 2022. With the growing base of RV OEMs, combined with our revenue diversification efforts into adjacent markets, we expect that OEM revenue will continue to increase as a percentage of overall sales throughout 2024. Dragonfly's gross profit in the fourth quarter was approximately $2.0 million compared to $4.0 million in the fourth quarter of 2022. Our full year 2023 gross profit was $15.4 million down from $23.6 million in 2023. The year-over-year decline in 2023 gross profit was primarily driven by lower unit volume sales, a change in revenue mix that included a larger percentage of lower margin OEM sales, as well as higher material costs. Operating expenses in the fourth quarter of 2023 were $5.4 million, down from $32.9 million in the fourth quarter of 2022. As a reminder, operating expenses in the fourth quarter of 2022 included approximately $21.3 million in business combination expenses associated with our going public in October of 2022. Operating expenses for the full year 2023 were $42.9 million, down from $58.0 million in 2022. This decrease was primarily driven by the absence of expenses associated with the business combination in 2022 and lower overall employee-related costs, partially offset by an increase in stock-based compensation costs as well as higher compliance, insurance and professional fees related to public company expenses. Total other income in the fourth quarter of 2023 was approximately $6.3 million compared to an expense of $2.7 million in the fourth quarter of 2022. Other income for fiscal 2023 was approximately $13.6 million compared to an other expense of $6.3 million in 2022. The income contribution in 2023 was primarily due to a change in fair market value of our warrant liability in the amount of $29.6 million partially offset by interest expense of $16.0 million. Net income in the fourth quarter of 2023 was $3.0 million or $0.05 per diluted share compared to a net loss of $32.5 million or a negative $0.76 per diluted share in the fourth quarter of 2022. Our net loss for the full year 2023 was $13.8 million or a negative $0.26 per share compared to a net loss of $40.0 million or a negative $1.04 per share in 2022. As discussed, the change in our 2023 net loss was driven by lower sales due to reduced demand in the RV market, partially offset by lower cost of goods sold, lower operating expenses and increased other income. EBITDA in the fourth quarter of 2023 was $7.4 million, compared to a negative $28.0 million in the fourth quarter of 2022. Full year 2023 EBITDA totaled $3.4 million compared to a negative $32.8 million in 2022. In the fourth quarter of 2023, adjusted EBITDA, excluding stock-based compensation, changes in the fair market value of our warrants and other one-time expenses was a negative $2.1 million compared to a negative $4.7 million for the fourth quarter of 2022. For the full year 2023, adjusted EBITDA, excluding stock-based compensation, changes in the fair market value of our warrants and other one-time expenses was a negative $17.1 million compared to a negative $7.9 million for the full year of 2022. For a reconciliation of EBITDA to adjusted EBITDA, please refer to our earnings press release. Before I turn to our guidance for the first quarter of 2024, I wanted to take a moment to discuss our cash position and expectations. Dragonfly ended the year with approximately $12.7 million in cash, down modestly from $13.2 million at the end of the third quarter of 2023. We continue to use our inventory of the source of working capital and expect that this will continue through at least the first half of 2024. We believe that this reduced cash burn, combined with access to our largely untapped $150 million equity line of credit provides us the necessary liquidity and resources to execute on our operational plans. Now I'd like to turn our attention to our expectations for the first quarter of 2024. As Denis mentioned earlier, we believe that the RV market appears to have stabilized and is showing early signs of recovery. In addition, our entry into the heavy-duty trucking market, while still in its early stages is gaining traction and has the potential to be a more meaningful revenue contributor in the second half of 2024. We expect first quarter 2024 revenue to be in the range of $12 million to $13 million, representing approximately 20% sequential growth at the midpoint of the range. We expect gross margin in the first quarter to be in the range of 24% to 26%. Operating expenses in the first quarter of 2024 are expected to be in the range of $8 million to $9 million. We expect other income and expense to be an expense in the range of $3.5 million to $4.5 million. We expect to report a net loss in the first quarter of 2024 in the range of a negative $8 million to a negative $10.5 million or a negative $0.13 per share to a negative $0.17 per share based on approximately 61 million shares outstanding. Let me now turn the call back over to Denis to provide some summary comments before turning the call over to Q&A.
Denis Phares: Thank you, John. Before opening the call for questions, I want to take a moment to highlight that despite the near-term growth and market headwinds, we have continued to execute and achieve our stated targets and milestones. In 2023, we completed the pilot line for our patented chemistry agnostic dry deposition process, prove that we could produce anode and cathode materials at scale and are now in the process of delivering sample battery cells to customers across several different industries and markets. We are extremely excited about 2024 as the convergence of the new cell manufacturing, the expansion of our customer base and market segments and the stabilization and return to growth of the RV markets sets the stage for an expected return to growth. With that, I will turn the call back over to the operator, who can open the line for questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question is from George Gianarikas from Canaccord Genuity. Please ask your question.
George Gianarikas: Hi, everyone. Thank you for taking my questions. Maybe to start just on the momentum of the business. I know you only gave guidance for one quarter, but you use terms like bottoming and you seem to have a lot of momentum on that heavy duty trucking side. So can you just kind of maybe qualify for us whether or not this first quarter of '24 is likely to be the bottom for your business for the rest of the year? Thank you.
John Marchetti: Sure, George. Thanks for the question. Maybe I'll start and then Denis can add a little bit of color around some of the customer stuff if he think so. I would say that, that we certainly do expect that, George. As Denis mentioned, we saw some improvement in the RV market, particularly in the first quarter here that gives us some confidence to at least call the bottom. I think there still is a little bit of uncertainty as to what the pace of the recovery looks like in the over RV market. I think the industry right now is calling for something on the order of 10% to 15% growth in calendar year '24. If that proves to be accurate, and then we would certainly expect to do at least as well as that, but probably a little bit better given some of the new market wins or some of the new customer programs that we've won throughout the course of 2022. As it relates to the trucking and even the RV market, I think the second half of the year is likely to be stronger. The RV market starts its calendar year or excuse me, it's model year in the July, the month of July. So sort of a mid-year upgrade to all the models. So we expect some of the new programs that we've won to really start then. And then with the trucking, we continue to, I think to gain quite a bit of traction in the overall marketplace, particularly with the fleets. And as those trials begin to turn into more steady orders, we would expect that to be in the second half of the year. So I feel very good about where we are right now. there still is, I think, a little bit of uncertainty what the actual recovery looks like and what the full growth for the year will be. But I think we feel pretty confident that this first quarter is likely to be the low point of the year. Denis, I don't know if there's anything else there that you'd like to add on the customer side.
Denis Phares: I concur that we feel very confident that we've hit bottom, primarily because of the increase in shipments in RVs in general, but also there appears to be an increased -- return to an increase in incorporation of lithium as the preferred mode of storage in RV. So that all bodes very well for us, combined with the fact that we are taking POs now from fleets in the heavy duty trucking market, and so the combination of those things bodes very well for us this year.
George Gianarikas: So this decontenting trend that you saw in the second half of '23 seems to be at least over for now.
Denis Phares: Well, I wouldn't say it has returned to the way it was as we continue to be an option at Keystone, for example, rather than a standard. But there -- that part I think has bottomed in terms of the percentage that are going out without lithium.
George Gianarikas: And can you maybe just give a little more color on some of the -- I don't call them deals, but discussions you've had with auto OEMs and consumer electronics companies. So what is the pace of those discussions? What do they look like? Are you just looking for customers? Are you looking for partners beyond just customers maybe more of an intimate relationship with some of these partners? Any additional details would be appreciated. Thank you.
Denis Phares: Yeah. Well, I think notably here is, these are inbounds. So we were not actively seeking things that were outside of our realm of storage. But it was compelling enough that we actually decided to start tuning the process for some of those metrics that are more suited to consumer electronics or automotive. For example, the energy density is more important there. The actual power is more important, the charge rates and the discharge rates. So yes, they are relationships that we do expect to become very important to us. And I would say, they -- at this point, they're beyond the early stages in that we are actively taking parameters and using our process to meet those parameters for these customers.
George Gianarikas: Thank you.
Operator: Thank you. Your next question is from Brian Dobson from Chardan Capital Markets. Please ask your question.
Brian Dobson: Hey. Thanks so much for taking my question. So I just want to follow up a little bit on those customer requirements and your -- I guess, your recent discovery that your production process can produce PFAS free battery technology, that seems to be a topic of discussion because there's likely going to be government regulation regarding PFAS particles and wastewater streams. So do you see that as a, call it, manufacturing advantage and did that come down as a requirement from a large scale customer?
Denis Phares: It is most definitely a manufacturing advantage. It did not come in as a requirement. It was something that we were actually playing around with anyway and when we had a site visit, that was identified as something that was more significant than we thought.
Brian Dobson: Yeah. That's right. We were recently speaking with a company that mitigates PFAS particles and it seems like this is going to be, call it, like the next topic du jour (ph) for environmentalists and politicians. So certainly, it's very encouraging to hear that you can remove these dangerous chemicals from your production. So I guess, just speaking about trucking real quick. And I know that we did touch upon it in the Q&A. Is there a potential to use some of your wireless battery monitoring technology within long-haul trucking and have you received any type of feedback from long-haul trucking potential clients regarding either the batteries or that wireless motoring technology?
Denis Phares: We have a lot of data and a lot of feedback regarding the performance of the batteries and the EAPU system in general, and it is all very good. In terms of the wireless networking or at least the communications part of it, it is not something that had been required or requested, but as we continue to roll it out, we would not be surprised if it becomes more important in the heavy-duty trucking market because it is a great way to monitor state of charge and state of health and other aspects of the storage system.
Brian Dobson: Would you say, call it, if you were going to think about the markets that could you utilize those being like marine, RV and trucking, I guess, where would you expect to see the quickest kind of adoption? Where does it yield the most performance benefit?
Denis Phares: We developed the technology initially for Marine. And it really stemmed from the new ABYC requirements or recommendations that came out that required more visibility into what was happening in the storage system. But I do think that it is going to become very important in larger stationary storage installations because you have many batteries that are in series parallel configuration. And so to be able to monitor the health of each individual one down to the cell level and aggregate that data so that it makes sense either to the user or to some sort of monitoring system, I think it becomes that much more important as the systems become larger.
Brian Dobson: Yeah. Very good. Thanks very much.
Denis Phares: Thank you.
Operator: Thank you. Your next question is from Chip Moore from ROTH. Please ask your question.
Chip Moore: Hey. Good evening, everybody. Thanks. Wanted to ask on dry electrodes, just given the capital constraints currently, how are you thinking about opportunities to accelerate those efforts, at least in same DOE potential. Just give us an update there.
Denis Phares: We have been seeking opportunities at DOE and different government scenarios as well. I'm not really prepared to say anything at this point other than we expect that, that will be an important part of our scale-up.
Chip Moore: Understood. Thanks, Denis. And I guess back to the heavy duty trucking side, it sounds like you've got some fleets already committed maybe just expand on that pipeline? And then can you talk a little bit about margin potential there? I assume sort of first seat rollouts might be slightly lower. Eventually, you get maybe to aftermarket and higher margins. Just walk us through that.
Denis Phares: Maybe I'll turn the margin question over to John.
John Marchetti: Yeah. Sure. I can take that, Denis, and then maybe you can just update a little bit on where we stand with some of those fleets. I think overall, Chip, we're expecting that the margins there will be pretty consistent with our overall OEM margin profile. I don't think the trucking market is showing any undue strain on the pricing side and the margin equation there. I mean, thankfully, as we're talking with a number of fleets, this is a straight ROI proposal. This RV, sometimes it is a little bit more. This is what consumers want. This is what consumers expect. And as Denis mentioned, last year when they went through decontenting, it was somewhat easier for them to cut what they considered features or nice to have as opposed to real needs. And now we're seeing that move back to lithium as the preferred storage method. But in trucking, coming at this from a fuel savings perspective, coming at it from a maintenance, engine maintenance perspective, there really are advantages there from an ROI that don't really put a lot of pressure on the margin. So I think as that business scales to whatever size it's ultimately going to be, we would expect that to be very much in line with our sort of traditional OEM margin profile.
Denis Phares: In terms of the customers, Chip, there's a wide range. You've got the very, very large fleets that have tens of thousands of trucks on the road. You've got the smaller ones that are in the hundreds and then you've got the owner operators. And I would say we've been making traction -- gaining traction on all fronts. However, the very large fleets are slower to move, and they take longer pilots and they assess things a little bit longer than the owner operators, which you present a system, you present the data and they're ready to move pretty quickly. So I think what I will say about it is, we've been at it far longer with the much larger fleets. But now we're having these smaller fleet sizes commit and really turn over, and we expect that the larger fleets will begin to follow suit soon.
Chip Moore: Got it. Very helpful. Thank you, and maybe just one last one. Operating expenses, very good control in Q4, I guess, the step up in Q1 and anything in particular and if the RV market takes a little longer to recover, just what kind of levers do you have to pull there? Thanks.
John Marchetti: Sure, Chip. I think in Q1, we typically do have some expenses that are associated with the start of the calendar year, particularly on the stock-based compensation side for bonus payments and the board expenses, things along those lines that we don't necessarily expect to continue as we go through the remainder of the calendar year. So I would expect that from a sequential basis, 2Q which certainly be down more in that 4Q range, while 1Q, like I said, is a little bit higher because of some initial year end expenses.
Chip Moore: Perfect. Okay. Thanks very much. Appreciate it.
John Marchetti: Thank you.
Operator: Thank you. Your next question is from Pavel Molchanov from Raymond James. Please ask your question.
Pavel Molchanov: Yeah. Thanks for taking the question. I don't think anyone's asked about the off-grid storage market. I know that's a smaller slice of the revenue pie, but can we get an update on that?
John Marchetti: Sure, absolutely. From an off-grid storage perspective, we continue to see, I would say, pretty good momentum within the direct to consumer segment that has always been a small, but pretty consistent piece of the revenue pie, and it was certainly in '23 and even in 4Q. We've seen that market consistently move towards our larger battery sizes, so we tend to get pretty good margin out of that market, just given the higher ASPs on those products. But again, our advantage, I think, there tends to be the ability to help customers design the full system and then resell everything that they need as opposed to just shipping batteries out the door to customers. Yeah. I think given some of the recent developments that we've had, it continues to be a focus for us on the OEM side as well and we're continuing to work with potential customers on how we scale that up to the to the OEM level. We do have relationships with Connexa with -- and folks like that, that are helping on that storage side. So we would expect that, that continues to grow for us as we're looking out through 2024.
Pavel Molchanov: Understood. And then on the R&D front, what's the latest on the solid state efforts. [Technical Difficulty] kind of planning along those lines?
Denis Phares: Well, the solid state effort has not really been progressing because we are holding off on spending the capital. And we pivoted, I would say, before mid-year last year to conventional cells using the dry deposition process. It hasn't stopped completely. We are certainly working at the lab scale. We're developing new types of electrolytes, making coin cells. We continue to cycle coin cells. We've already reported that we were able to cycle coin cells over 1,000 times using an all solid state -- an all solid-state chemistry. So it hasn't stopped, but in terms of scale-up, in terms of providing samples, we really have been focusing on the pilot line that we made that can produce conventional cells.
John Marchetti: Yeah. And I would just add, importantly that, that the manufacturing lines themselves, the processes that we've been working on pretty aggressively here over the last nine months or so, those same manufacturing processes will be used for solid state. So when we made that decision, to sort of focus more on the conventional cells in the near term given some of the opportunities there, proving those lines out at scale is still a very important step for the overall delivery of those non-flammable cells in the future.
Pavel Molchanov: Got it. Thanks very much.
Denis Phares: Thank you.
John Marchetti: Thank you.
Operator: Thank you. [Operator Instructions] Your next question is from Jeff Grampp from Alliance Global Partners. Please ask your questions.
Jeff Grampp: Good afternoon. On the dry deposition process, I'm curious, if you guys can kind of maybe paint the time line for what are some material [Technical Difficulty] where you guys might be in a position to communicate externally on progress there, maybe goals that you guys have for 2024? Just hoping to kind of level set for what might be some reasonable benchmarks to kind of gauge progress there? Thanks.
Denis Phares: Thank you for that question. In that regard, we sort of rely on the customers that we are working with in terms of what we divulge because a lot of what we're doing is very specific to the parameters that we are given. And I would love to be able to come out and announce these sorts of partnerships and we hope to be able to do that. But we need to work through the specifics of the parameters and sort of tuning the technology, the process to those specific cells. So in terms of what we're divulging, I think it really is based on how our relationships are progressing with these customers.
Jeff Grampp: Understood. That makes sense. And maybe for John, on the working capital inventory side of things, I know you mentioned that will be a tailwind for you guys, at least in the first half of the year. Any kind of, I guess, ballpark estimate for how much excess inventory you guys think you were carrying? Just, I guess, trying to get a sense of materiality of that for you guys.
John Marchetti: Sure. I mean we worked through some of that through the second half of last year, to be fair. And I think we've got another sort of similar cut to that revenue or excuse me, to that inventory revenue levels over the next, like I said, through the March and certainly through the June quarter. I think when all is said and done, looking at from where we sort of ended the year in 2023, we can probably take another $7 million, $8 million off of that number, maybe a little bit more as we go through the first half of 2024. We continue to be pretty aggressive in working back cutting back on some of the safety stock levels that we had built up and particularly in front of the Keystone relationship where we were on being installed as a standard install. So we really were trying to protect ourselves from any shortages there. I think overall, the supply chain that we've been working with for a number of years has gotten very, very predictable. So we feel comfortable working that down to where we're only really holding, say, a quarter's worth of inventory of key goods where in the past, that was certainly six months and in some cases, even as high as nine as we were coming through the effects of COVID. So I think we're in a position now to work that down to much more reasonable levels and then kind of maintain that on a more steady state basis, certainly as we look through 2024.
Jeff Grampp: Okay. Great. Appreciate those details. Thank you guys for the time.
Operator: Thank you. Your next question is from Brian Dobson from Chardan Capital Markets. Please ask your question.
Brian Dobson: Thanks very much. Just a quick follow-up on the RV market. You mentioned that it is bottoming and you called out a couple of factors as to why that is. Do you think that could be described as a back half catalyst for 2024 or is it too soon at this point?
John Marchetti: I would say, Brian, I think it can be a catalyst. I'm just not sure yet of the magnitude of that catalyst. I guess the best way that I could describe that. Denis mentioned, we feel very, very comfortable, certainly calling the bottom here, but I think the slope of the recovery, if you will is still a little bit too early, I think, to where we're comfortable calling that. I do feel good about the fact that we will have some new programs that come on in the second half of the year. As I mentioned, the RV model year starts in July. Some of those programs that we have on won, won't start until we get to the second half of the year. So I do feel pretty good that we should see that half-on-half growth. But how large that growth is, I think it's still a little too early for us to call.
Brian Dobson: Yeah, very good. It certainly a step in the right direction now.
John Marchetti: Yes. We were encouraged by what we’ve seen early on here.
Operator: Thank you. There are no further questions at this time. Please proceed.
Denis Phares: Thank you for everyone joining us today. We look forward to sharing additional details with all of you in the coming quarters. Have a great day.
John Marchetti: Thank you.
Operator: Thank you. Ladies and gentlemen, the conference has now ended. Thank you all for joining. You may all disconnect.